Operator: Ladies and gentlemen, thank you for standing by, and welcome to the MetLife Second Quarter 2013 Earnings Release Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Before we get started, I would like to read the following statement on behalf of MetLife. Except with respect to historical information, statements made in this conference call constitute forward-looking statements within the meaning of the federal securities laws, including statements relating to trends in the company's operations and financial results and the business and products of the company and its subsidiaries. MetLife's actual results may differ materially from the results anticipated in the forward-looking statements as a result of risks and uncertainties, including those described from time to time in MetLife's filings with the U.S. Securities and Exchange Commission, including in the Risk Factors section of those filings. MetLife specifically disclaims any obligation to update or revise any forward-looking statement whether as a result of new information, future developments or otherwise. With that, I would like to turn the call over to Ed Spehar, Head of Investor Relations.
Edward A. Spehar: Thank you, Greg, and good morning, everyone. Welcome to MetLife's Second Quarter 2013 Earnings Call. We will be discussing certain financial measures not based on generally accepted accounting principles, so-called non-GAAP measures. Reconciliations of these non-GAAP measures and related definitions to the most directly comparable GAAP measures may be found on the Investor Relations portion of metlife.com, in our earnings press release and our quarterly financial supplements. A reconciliation of forward-looking financial information to the most directly comparable GAAP measure is not accessible because MetLife believes it's not possible to provide a reliable forecast of net investment income and net derivative gains and losses, which can fluctuate from period to period and may have a significant impact on GAAP net income. Now joining me this morning on the call are Steve Kandarian, Chairman, President and Chief Executive Officer; and John Hele, Chief Financial Officer. After their prepared remarks, we will take your questions. Also here with us today to participate in the discussions are other members of management, including Bill Wheeler, President of Americas; Steve Goulart, Chief Investment Officer; Michel Khalaf, President of EMEA; and Chris Townsend, President of Asia. With that, I'd like to turn the call over to Steve.
Steven A. Kandarian: Thank you, Ed, and good morning, everyone. We are pleased to report another strong quarter, with most financial metrics exceeding our plan. Second quarter 2013 operating earnings were $1.6 billion, up 11% over the second quarter of 2012. Operating earnings per share were $1.44, a 7% increase over the prior year period, and operating return on equity was 12.3%. This quarter's results reflect the continuation of our strategic shift away from capital-intensive, market-sensitive products to high-return, lower-risk product lines, as well as our strategy to grow emerging markets. This shift was evident with variable annuity sales down 40% versus the prior year period, while sales rose 28% in our Group, Voluntary & Worksite Benefits segment; 32% in Latin America; and 32% in the emerging markets within our Europe, Middle East and Africa segment. Our investment margins were favorable again in this quarter as a result of good variable investment income, effective asset/liability management and income from derivatives, many of which were purchased in the mid-2000s to protect earnings under a low rate scenario. In the second quarter, our average investment spread across all U.S. product lines was the top end of the roughly 200- to 250-basis-point range experienced during the past few years. To help you think about the impact of interest rates on earnings, I refer you to the low interest rate stress scenario in our 2012 10-K. We said that the continuation of the late 2012 interest rate environment in the U.S. through year-end 2014 would reduce our operating earnings by $45 million in 2013 and $150 million in 2014 relative to plan. In late 2012, the 10-year treasury yield was 1.69%. Our plan assumed rates would steadily increase and reach to 2.38% by year-end 2013, and then remain at this level through 2014. In addition, credit spreads were tighter in late 2012 than assumed in our plan. Today, the 10-year treasury yield is approximately 2.6% or slightly above our plan assumption, and credit spreads have widened, which puts them roughly in line with our plan. With a rate environment only slightly more favorable than our plan, we did not assume investment margins will expand as a result of the recent increase in interest rates. To be sure, higher interest rates are a positive development, but the benefits for MetLife are reduced risk of margin compression and balance sheet charges. Now I would like to provide an update on customer centricity, followed by some comments on the regulatory environment. We continue to expand significant effort on the 4 cornerstones of our strategic plan because they are firmly within our control and critical to becoming a world-class organization. Regulatory outcomes by contrast are only partially within our control, but require no less effort, given their potential impact on our long-term competitive position. Customer centricity is an important element of our strategy, and while it won't show up in the numbers overnight, it can help create an enduring competitive advantage for MetLife. I have noted in the past that MetLife and the life insurance industry have not done as good a job of delivering exceptional customer experiences as some other industries. Simply put, we are just too hard to do business with. As a result of important simplification work we are doing around the globe, we have early indications that enhancing the customer experience not only increases customer satisfaction but also reduces additional work and ultimately, lowers cost for MetLife. Results in several areas, faster call handling, improved self-service, first-contact customer resolution and streamlined claims processing, bear this out. In Korea, improved technology has dramatically reduced telephone wait times, with 86% of calls answered in less than 20 seconds today, up from 47% before the upgrade. In the U.S., simple fixes to our website tripled customer use of our online change of address process and virtually eliminated related customer complaints. In the U.S. and Mexico, call center representatives, newly empowered with better tools and technology, are now resolving 60% of customer problems in a single contact, up from 45%. And in Poland, a redesigned claims process, including simpler forms, reduced documentation requirements and proactive status updates to customers, reduced life insurance claim payments turnaround times by 30% from 5.6 days to 3.9 days. There is still much work to be done, but I am encouraged by our early progress on improving the MetLife customer experience. Now let me offer a few observations on the regulatory environment. As you know, on July 18, the Financial Stability Board designated MetLife and 8 other insurance companies as globally systemically important insurers or GSIIs. Our understanding is that being named a GSII has no legal effect unless MetLife is designated a systemically important financial institution or SIFI by the Financial Stability Oversight Council. If we are designated a SIFI, MetLife would be subject to enhanced prudential standards promulgated by the Federal Reserve. Furthermore, the Fed will have to determine whether to subject U.S.-based GSIIs to additional supervision and prudential rules. Two days before we were named a GSII, FSOC voted to advance MetLife to Stage 3 of the SIFI designation process. As I said at the time, I do not believe that MetLife is a systemically important financial institution. The life insurance industry is a source of financial stability. Even during periods of financial stress, the long-term nature of insurance liabilities protects against bank-like runs and the need to sell assets quickly. For pure protection products, the company makes no payment unless an insured event occurs, so there's no way to accelerate the liabilities. For products that include a savings component, there are strong disincentives to surrender and cash out. Not only can policyholders face surrender charges and tax penalties, but they may find it difficult to purchase new policies if they had to be medically re-underwritten. The existence of the state-based guarantee funds provides a further incentive for customers to hold on to their policies. Importantly, state insurance regulators have the ability to halt surrenders in the event of financial distress and have typically done so. As a practical matter, being moved to Stage 3 means that FSOC can request nonpublic financial information to examine a company's potential for systemic risk. During the process, MetLife is permitted to submit additional information to FSOC, demonstrating that our business does not pose systemic risk. It's unclear how long we will remain in Stage 3 of the designation process. Our only frame of reference from the insurance industry is the experience of AIG and Prudential, both of which spent more than 7 months in Stage 3. After Stage 3 is complete, a 2/3 vote of FSOC is needed for a proposed determination that a company is a SIFI, including an affirmative vote by the chairperson, who is The Secretary of the Treasury. If a company receives a notice of proposed determination, it has 30 days to request a nonpublic hearing to appeal the decision. FSOC then has 30 days to hold the hearing and another 60 days post hearing to make a final determination, which again requires a 2/3 vote of FSOC, including an affirmative vote by the chairperson. At that point, a company may bring action in U.S. district court, seeking to have the determination rescinded. The critical question for insurers designated as SIFIs is what the prudential rules will look like. Will they be bank-like capital rules or rules appropriate for the business model of insurance? Senator Susan Collins of Maine helped put this issue in perspective in a letter to the federal banking regulators last fall. For context, Senator Collins sponsored a provision on the Dodd-Frank Act requiring capital standards for nonbank SIFIs to be no less rigorous than those that apply to banks. In her letter, she said, "it was not Congress' intent that federal regulators supplant prudential state-based insurance regulation with a bank-centric capital regime." We strongly believe that insurance companies should be regulated differently than banks. As I've said many times, if life insurers are subjected to capital rules designed for banks, MetLife's ability to issue guarantees would be constrained. We'd have to raise the price of products we offer to consumers or stop offering certain products all together. To be clear, we strongly support prudential regulation of the life insurance industry. After all, we are financially liable for insolvencies to the state-based guarantee funds. What is imperative is that the rules be tailored to the business model of insurance. In closing, while the regulatory environment remains fluid, we are delivering strong financial performance today and executing on our strategy to generate increasing shareholder value over time. With that, I will turn the call over to John Hele to discuss our financial results in detail. John?
John C. R. Hele: Thank you, Steve, and good morning. Today, I'll cover our second quarter results, including a discussion of insurance margins, investment spreads, expenses and business highlights. I will then conclude with some comments on cash, capital and guidance. As Steve noted, MetLife reported operating earnings of $1.6 billion or $1.44 per share, up 11% year-over-year. This quarter included a few notable items, all in our EMEA region. The first relates to our pension business in Poland. In June, the government of Poland announced 3 proposals, and any one of these 3 would materially change the country's pension system. A change in the system is expected before the end of the year, with implementation occurring sometime in 2014. We expect that the economics of our pension business will be materially altered in Poland, resulting in either a significant reduction or the elimination of our pension assets under management, which were approximately $7 billion as of June 30. Therefore, we have written off the entire DAC and VOBA balance related to this business, resulting in an after-tax charge of $26 million or $0.02 per share in the second quarter. Going forward, our preliminary estimate is that this change to the Polish pension system will reduce EMEA's operating earnings by $15 million to $30 million annually. Also in EMEA, we had a couple of onetime tax items this quarter. The first was a tax benefit of $52 million, as we made an APB 23 assertion for the region. This was partially offset by a $30 million write-off of a deferred tax asset related to our U.K. wealth management business due to regulatory changes that made future sales growth and profits less certain for this startup operation. The net benefit of these 2 items was $22 million or $0.02 per share. Turning to our bottom line results. Second quarter net income was $471 million or $0.43 per share and included net derivative losses of $1.1 billion after tax. The net derivative loss in the quarter was driven primarily by 3 items that we consider to be either noneconomic or a cause of asymmetrical accounting treatment. These are: number one, an increase in interest rates; number two, changes in foreign currencies, principally the weakening of the yen relative to the U.S. dollar; and number three, the MetLife-owned credit impact associated with our VA program. Book value per share, excluding AOCI, was $47.20 at June 30, down modestly from March 31. This slight decline was a function of modest net income due to the net derivative loss and 2 quarterly dividends declared in the quarter. Turning to margins. Underwriting was generally unfavorable this quarter. The mortality ratio in retail life was 89.7% due to unfavorable experience in both variable and universal life and traditional life. This result was higher than our expectation for the quarter and worse than the 85.6% ratio in the second quarter of 2012. The mortality ratio in group life was 86.5% in the quarter, favorable to the prior year quarter of 87.3% and well within the target of 85% to 90%. The improvement in the mortality ratio was driven by lower Group Universal Life claims experience. As a reminder, a 1-percentage-point change in mortality ratio equates to quarterly operating earnings impact of approximately $2 million to $3 million for retail life and $8 million to $10 million for group life. The Non-Medical Health benefit ratio was 89.5%, up 210 basis points from the prior year quarter of 87.4% and at the top end of the targeted range of 86% to 90%. The primary driver for the increase in the ratio was weaker underwriting results in long-term care due to higher incidence and to a lesser extent, an increase in the average claim size. However, we are seeing an improvement in disability underwriting results as the overall claims incidence trend continues to be favorable. As a reminder, a 1-percentage-point change in the Non-Medical Health benefit ratio equates to an operating earnings impact of approximately $10 million on a quarterly basis. In our P&C business, the combined ratio, including catastrophes, was 107.5% for Retail and 97.7% for group. Retail was impacted by higher-than-budget catastrophes in the Midwest. Overall, catastrophes were higher than budgeted in the quarter by $16 million or $0.01 per share. The combined ratios, excluding catastrophes, were higher year-over-year in both Retail and group at 86.1% and 92.1%, respectively. The increase was driven by elevated non-catastrophe weather-related losses and lower favorable prior year reserve development. Next, let me turn to investment spreads. In our QFS, you will note that the spreads remain strong and are higher versus the prior year quarter across all major product lines in the U.S., driven by higher variable investment income and derivative income. A simple average of the investment spreads in our U.S. businesses were 244 basis points this quarter, which compares to 231 basis points in the second quarter of 2012 and 235 basis points in the second quarter of 2011. This progression illustrates the resilience of our investment margins despite a challenging interest rate environment. In the quarter, pretax variable investment income was $312 million, reflecting strong returns from private equities and hedge funds. After DAC and taxes, variable investment income was $202 million or slightly less than $0.01 per share above the top end of our 2012 -- 2013 quarterly guidance range. With regard to expenses, the operating expense ratio was 23.5% for the second quarter. Excluding the impact of pension and postretirement benefits and closeouts, the operating expense ratio was 22.8%. This compares favorably to the second quarter of 2012, which had an operating expense ratio of 23.7% and 23.4% excluding pension and postretirement benefits and closeouts. We are pleased with this performance as it reflects progress on our strategic goal to reduce net expenses by $600 million. Through the first half of 2013, gross expense saves were $248 million, while net saves were $173 million after adjusting for reinvestment of $12 million and onetime costs of $63 million. I will now discuss some of the business highlights in the quarter. Rather than go through every segment, I will focus on areas where our results may have differed from your expectations. Therefore, my comments will be on Retail annuities, Group, Voluntary & Worksite Benefits, Corporate Benefit Funding, Latin America and Asia. Retail annuities reported operating earnings of $368 million, up $142 million or 63% versus the prior year quarter. The earnings drivers were comprised of several factors, including favorable market impact, lower ongoing DAC amortization, lower operating expenses and higher net investment income. Variable annuities sales were $2.8 billion in the quarter, down 40% year-over-year and 22% sequentially. We continue to target full year VA sales of $10 billion to $11 billion. Effective August 12, we are eliminating sub-pays for all GMIB Max and Enhanced Death Benefit Max products, other than our current product, GMIB Max V. Group, Voluntary & Worksite Benefits reported operating earnings of $275 million, up 3% year-over-year. As I mentioned previously, underwriting results were unfavorable in long-term care and property and casualty, and this was a case both year-over-year and relative to our expectations. However, improved investments and expense margins were effective offsets to less favorable underwriting margins. Turning to Corporate Benefit Funding. Operating earnings were $350 million, up 10% year-over-year. The growth was driven by improvements in investment and underwriting margins. Investment margins improved as a result of lower credit interest, primarily on capital markets products, and higher variable investment income. The increase in underwriting margins was primarily driven by a mortality gain in the U.S. pensions business. In Latin America, operating earnings were $125 million, down 7% year-over-year and 11% on a constant-currency basis due to adverse mark-to-market investment results in Brazil and Mexico, the impact of inflation in Mexico and Chile and higher expenses primarily due to business initiatives in the region. While bottom line results were pressured, underlying business growth in the region drove solid top line performance. Premium fees and other revenues were up 12% year-over-year and 8% on a constant-currency basis, driven by growth in worksite marketing in Mexico, group insurance in Brazil and direct marketing in Argentina. In addition, total sales in Latin America were up 32% year-over-year, with strong growth in all countries. In Mexico, sales growth was driven by increases in Retail and Group products. In Chile, the sales increase was driven by growth in the agency force. In Argentina, the increase was driven by direct marketing. And finally, sales growth in Brazil was driven by higher accident and health sales. Turning to Asia. Operating results were $330 million in the quarter, up 18% year-over-year and 27% on a constant-currency basis. Earnings were driven by underlying business growth; higher fee income from the surrender of foreign currency fixed annuity products in Japan; and strong equity market performance in Japan, which resulted in a decline in variable life guaranteed minimum death benefit reserves that benefited operating earnings by $19 million. This quarter, we again saw higher surrender activity in Japan, which was an item we've highlighted on our last call. This is the result of customers harvesting gains in foreign-currency-denominated fixed annuity products, denominated in Australian and U.S. dollars. We believe that customers have shifted assets into equities, which continue to perform very well. In the quarter, surrender fees in excess of plan contributed $35 million to Asia's operating earnings. We expect that surrender fees will decline significantly in the second half of the year. In addition, as a result of elevated surrenders in the first half of the year, we would expect to see a reduction to operating earnings by slightly less than $15 million annually. Finally, Asia's second quarter operating earnings were $9 million lower than our plan as a result of yen weakness relative to the U.S. dollar. As we have stated previously, we have hedges for our 2013 projected yen-exposed operating earnings at strike prices at around JPY 90 to the U.S. dollar. These hedges are currency options which provide protection against the yen weakening beyond JPY 90, but allow us to participate if the upside should the yen strengthen. Our protection now extends to the third quarter of 2014, with currency options at around JPY 90 in place for the first quarter, around JPY 95 in the second and in the range of JPY 95 to JPY 100 for the third quarter. Now I will discuss our cash and capital position. Cash and liquid assets at the holding companies were approximately $6.5 billion at the end of the second quarter. The increase was driven primarily by $1.4 billion of subsidiary dividends, as well as the $550 million release of capital from unwinding MetLife Bank, as we mentioned at our May Investor Day. Next, I would like to provide you with an update on our capital position. As you know, we report U.S. RBC ratios annually, so we do not have an update for the second quarter. With regards to Japan, our solvency margin ratio was 1,033% as of the first quarter of 2013. Our preliminary statutory operating earnings and statutory net income for our domestic insurance companies for the second quarter of 2013 were $614 million and $176 million, respectively. Statutory operating earnings were up $382 million from the prior year due to improved market conditions, while net income was lower than the prior year primarily due to derivative and joint venture capital losses. For the first 6 months of 2013, statutory operating earnings and statutory net income for our domestic insurance companies were $1.4 billion and $734 million, respectively. Total adjusted capital for our domestic insurance companies is expected to be approximately $27.4 billion as of June 30, down 6% from December 31 primarily due to subsidiary dividends paid to the holding company. Excluding the dividends, total adjusted capital would have been down 1% for the year due to unrealized losses driven by derivatives. Finally, let me provide some comments regarding guidance. Considering the outperformance in the quarter and the first half of the year, we now expect to exceed the top end of our 2013 EPS guidance range of $4.95 to $5.35. We believe that our operating EPS will likely be lower in the second half of 2013 relative to the first half of 2013 primarily for 4 reasons: number one, we still anticipate investment spread compression for the balance of the year despite recent increase in interest rates due to our expectation for lower variable investment income and lower core yields; number two, we assume a less favorable market impact for the second half of the year; number three, we expect that surrenders in Japan will return to a more normal level in the second half of the year, which should mean a decline in surrender fee income relative to the first half of the year; and number four, we project higher expenses in the second half of the year, driven by key enterprise initiatives. Partially offsetting these items is the anticipated accretion from the acquisition of Provida, which is expected to close at the beginning of the fourth quarter. And with that, I will turn it back to the operator for your questions.
Operator: [Operator Instructions] Your first question comes from the line of John Nadel from Sterne Agee.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: Two questions, unrelated issues. The first is you talked and gave some good detail on the potential change in the -- from the pension reform in Poland. I was wondering if you could sort of give us an update on your expectations. There's been a lot of discussion about potential for reform in Chile, so maybe you can talk about your current business there and then the potential impacts on Provida.
Michel Khalaf: John, this is Michel Khalaf. Let me, first of all, just give you a little bit of the background around the proposed pension reform in Poland. Poland was one of the best performing economies in the EU following the financial crisis. However, the economy slowed down significantly in the last year, 18 months, so GDP growth is expected to be under 1% this year. In addition to that, Poland has 2 major challenges. One is around its debt-to-GDP ratio, which, under the Polish constitution, must be maintained under 55%, otherwise that would trigger austerity measures. And the other issue that Poland faces is that the EU requires it to have its budget deficit brought down to under 3%, and that budget deficit is currently close to 4%. So given this economic background, political situation with a government in its second term, facing elections in 2015, the Polish authorities are intending to introduce changes to the pension system, which is tantamount really to a partial renationalization of the system. But the situation at this point is quite unique in the sense that Poland is facing these challenges and hence, the proposed reforms. Obviously, we're disappointed at these developments. We think that in the long run, these measures will have detrimental effects, especially as far as the development of capital markets in Poland and as far as participants in the pension system as well. And we're working hard with the other participants in the market and industry and trade associations to hopefully convince the government to make some changes to those proposals. So that's a little bit of the background on Poland. Let me turn it over to Bill Wheeler to talk to you about Chile.
William J. Wheeler: Thanks, Michel. So John, a couple of things, just to give you a little context about Chile. Chile is a very attractive place to do business. It has a AA- sovereign credit rating. That's the highest in Latin America. It's -- and obviously, when we -- we took that into account when we announced the acquisition of Provida. Just remember, we think we bought Provida at a very attractive price relative to where other properties in that market have traded over the past couple of years. So it's a transaction that we're still very excited about. There is a presidential election campaign going on in Chile, so there have been some comments about the AFP pension scheme. Chile thinks they invented, and I guess they did invent, the private pension scheme 20-plus years ago. They're very proud of it. They think it's been a roaring success, and I don't disagree with that. The comments in the presidential election have come both from the contenders for the new job, as well as the existing president, Piñera. Michelle Bachelet, who is -- who was President of Chile previously and is now likely to be the winner in this coming election in November, has made some comments. And I would guess the comments are along the lines of she wants to see contributions increase, from sort of 10% of salary to maybe something like 12%. And also, she wants to make sure that workers at sort of lower socio-economic levels, sort of itinerant workers are covered more thoroughly by the existing pension schemes. I would also say she has talked about a lot of reforms in a lot of areas of the country, and so this is one of many things that she's focused on in her election campaigning. When we step back and think about what's been said and sort of her track record, remember, she had been president before so she's a known quantity, we're still very comfortable with the Provida acquisition and think it's going to be very successful for us.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: And then the second question I just had, John, you mentioned in Corporate Benefits Funding that it was really -- the investment margins expanded largely because of lower crediting rates related to capital markets-type business. Could you maybe give us more clarity there? Especially as it relates to -- is this a lower-level crediting rate that we should expect will continue? Or is it more tied to -- what is that tied to? Is it tied to LIBOR? Is it tied to rates at the longer end of the curve? Should those crediting rates jump back up?
John C. R. Hele: Right. Well, I would view this more as a onetime opportunistic, excellent management performance by our investment team really in the quarter. And also we've had good derivative income across all the lines. This line also benefited from some good returns we had on our sec lending program. So a lot of the assets that we've loaned out in the quarter were from this group, and we had slightly higher margins than we've had historically. So I would not put this for a full run rate. Steve will add a little bit to this, too, as well.
Steven Jeffrey Goulart: Let me just add a little color. It's Steve Goulart. And we like to think of it more than onetime, too, because a lot of it was really related to just what's happening in the capital markets. As we've been refinancing our funding agreement backed notes, obviously, those costs are coming down, and they're down substantially. If you look at what we refinanced in the first half of the year, in the order of $6 billion worth, it's down 100 to 150 basis points. And our asset yields are just not coming down as rapidly, so we're seeing good margins there.
Operator: Your next question comes from the line of Yaron Kinar from Deutsche Bank.
Yaron Kinar - Deutsche Bank AG, Research Division: Couple of questions, first on cash. At $6.5 billion, even if we adjust for the Provida acquisition, it seems like cash is tracking a little bit at the high end of what you've guided for the end of year. So I want to see if maybe you had an update there.
John C. R. Hele: We're tracking within the range we gave you on Investor Day.
Yaron Kinar - Deutsche Bank AG, Research Division: Okay. And then on ROEs, I think, as of midyear, you're already in the 12.5% range. And thinking of previous guidance, which I think was 11% to 13% x any buybacks and probably 11%-ish if rates remain low, it seems like you're already exceeding that. So do you have any thoughts as to do ROEs -- or do they maintain at this level? Do you expect them to come down a bit? Maybe think about the next step of the ROE story.
John C. R. Hele: We've got a few impacts that will impact the future outlook for ROE. As we said, just on the call, that we expect the operating EPS to be -- operating earnings to be slightly lower than the first half of the year going forward. We also have our convertible equity units coming in this fall that will add to the denominator. And of course, we're building capital. We're not doing capital management actions at this time, and that will build up. So ROE will be pressured without other actions going forward, slowly over time. Contrary to this, will be our ability to grow revenues faster than our expenses, which the implementation of our strategy appears to be executing so far this year.
Operator: Your next question comes from the line of Suneet Kamath from UBS.
Suneet L. Kamath - UBS Investment Bank, Research Division: First question for Steve Kandarian. First of all, thanks for the timeline on the whole regulatory outlook. It was helpful perspective. But if I take what you said and I think about the precedent that you mentioned, I guess, AIG and Pru sitting in Stage 3 for 7 months and then 30 to 60 days of incremental wait time and I couple that with your comments around -- in the past, around perhaps not doing anything more aggressive in terms of share repurchase until we actually know what the rules of the road are. So can I take from that, that as long as that time frame is out there, 7 months-plus, we're probably not going to see anything in terms of share repurchases?
Steven A. Kandarian: Suneet, what I've done in the past on this type of question is just simply say, "As of today, this is where we are" because things come down the pike over time that you learn more about the process or where things are going so you could change your point of view based upon new information. So I don't want to put a stake on the ground, but as of now, we don't think it's prudent to announce some large share buyback program in the face of the regulatory uncertainty that we have.
Suneet L. Kamath - UBS Investment Bank, Research Division: Okay. And then, I guess, a second question on Japan. I just wanted to get your thoughts on the accident and health market there. Obviously, Aflac has announced a pretty big partnership with the Japan Post. And I'm wondering if that will somehow impact your -- I think, your target market, which I think is a little bit more direct-to-consumer marketing, which I would assume would be a little bit more in the rural areas. So I guess, how are you thinking about your growth potential in that market given that sizable transaction -- or sizable partnership that was announced?
Christopher G. Townsend: It's Chris Townsend. Let me tell you, first of all, in terms of how our A&H business grew in Japan for the second quarter. We grew at 10% year-on-year, and that was growth across all 4 channels, so across the career agency, independent agency, DM and the bank channel. So we have said to you a number of times before that the strength of our business in Japan emanates from the breadth of distribution we have, and that's being played out in the numbers you're seeing here. Interestingly enough, the bank channel, where we're challenged in terms of some of the fixed annuity business, we grew 73% year-on-year in the A&H channel, and we're selling A&H business to about 30 different banking partners now. So we feel we've got a good reach across the country and reach across distribution, which will allow us to continue to earn very good money out of the A&H business.
Suneet L. Kamath - UBS Investment Bank, Research Division: Okay. So any comments on the Japan Post tie-up?
Christopher G. Townsend: The Japan Post business is an extension of an existing contract, which that company has, and it will, I'm sure, put them in good position for the cancer business. We -- our A&H business is slightly different to Aflac, and they're 80-20 cancer to medical. We're exactly vice versa in terms of 80% medical, 20% cancer. I would say that we actually launched today a new cancer product in Japan, which is fairly revolutionary in terms of some of the types it covers that it offers, and we're hoping for good things out of that product.
Suneet L. Kamath - UBS Investment Bank, Research Division: Okay, that's helpful. Maybe one last question for Steve Kandarian, I guess. You've talked to us about the -- some of the initiatives that you've highlighted, the expense savings and the emerging markets. But the other one that we haven't really heard a whole lot about is the global group benefits initiative. So just wondering if there's any color that you can provide in terms of your progress there towards that, I think, $250 million of earnings by 2016.
Maria R. Morris: Suneet, it's Maria Morris. Thanks for the question. We're actually quite pleased with the progress we've been making in the group area across the globe. As you know, we are actually working with our global companies, and we've seen sales increased year-over-year by triple digits, which is phenomenal. We've seen our multinational sales up triple digits in each of the 3 regions. And our expatriate business continues to do well as well, where sales in expatriates will be up over 50% for the year.
Suneet L. Kamath - UBS Investment Bank, Research Division: Is it moving the needle yet in terms of earnings? Or is that still to come?
Maria R. Morris: We've been making some investments as you're aware of. We talked to you about those on Investor Day. So we're investing in the early years. We are seeing that we're above plan on earnings, but our earnings were more tempered in the early years as we invest for the future.
Operator: Your next question comes from the line of Tom Gallagher from Crédit Suisse.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: First question for John, just in terms of the -- your comments about second half earnings drivers. On -- one of the things you mentioned, Japan surrenders you expect to fall off. Have you seen thus far into 3Q? I know we're a little -- we're what, 1 month into the quarter, but are you actually seeing that play out thus far? And then the other question on third quarter earnings would be you also mentioned you're assuming a lower variable investment income. Because of the lag on private equity reporting I assume you had pretty decent visibility on that. So should we be expecting something below plan or maybe middle of the plan in terms of near term where that trends? That's my first question, and then I have 1 follow-up.
John C. R. Hele: You asked 2 questions, but I'll give you that on 1. The second half earnings drivers with regards to Japan, yes, we've already seen a decrease, tapering down in that. So we do expect that to taper down for the remainder of the year. With regard to VII, we have -- some of the funds are on a 1-month lag, some is on a 1 quarter, so we're seeing it slightly less. But who knows what the equity market is going to do in August and September, and that's a key driver to these types of returns. So we're basically assuming on plan right now for -- which is the midpoint of the range we've given.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: Got it. Okay, so midpoint. And then just a question on long-term care, you'd mentioned the weakness in results as one issue for the quarter. Can you frame that a little bit? And are you still actually making money in long-term care even with the higher claims you're seeing? Is this an issue that we should be thinking about in terms of potential balance sheet impacts?
William J. Wheeler: Tom, it's Bill Wheeler. We make good money in long-term care. The issue with long-term care is that we have to hold a lot of capital against it, so the ROEs are not terribly attractive. But even with these incidence rates, long-term care is solidly profitable. A little color on the incidence. What we're seeing is higher reported claims, and the approval rate of those claims is pretty high. We're sort of digging into the issue now to make sure -- we recently moved some of the claims management and reporting and claims operations. And whenever you do that, in any insurance business, you always can -- sometimes new wrinkles can cause some blips in terms of how the claims management is done, so we're digging into that and trying to understand it better. But it's -- in my mind, this is a -- this did cause the non-health morbidity ratio to jump a little bit, but it's not that significant.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: So Bill, still a lot of margin left?
William J. Wheeler: I'm sorry, what's that?
Thomas G. Gallagher - Crédit Suisse AG, Research Division: You still have a lot of margin left on the LTC.
William J. Wheeler: In terms of balance, this isn't -- wouldn't remotely size up to be a balance sheet issue.
Operator: Your next question comes from the line of Jimmy Bhullar from JPMorgan.
Jamminder S. Bhullar - JP Morgan Chase & Co, Research Division: First question for Steve, on capital deployment, you mentioned you'd -- probably the buybacks would be on hold until you get greater clarity on SIFI. Does that apply to dividends as well? Because you did raise your dividend despite uncertainty on SIFI. And then the other question is on just if you could give us a little bit more detail on the components of the derivatives losses. How much of those is related to interest rates, foreign exchange or the nonperformance risk?
John C. R. Hele: Jimmy, I'll take the dividend question. As you know, we just increased our dividend early this year by 49% from $0.74 a share to $1.10. And we announced the Provida acquisition for approximately $2 billion using cash on our balance sheet. So we are deploying capital in a way we think is prudent in light of the regulatory overhang. We don't think, at this point in time, engaging in share buybacks is the right thing to do. So that is kind of where we stand right now on deployment of capital. I don't rule out what happens late in the year in terms of changes to our dividend. But as of now, we're comfortable with $1.10 per year.
Steven A. Kandarian: With regard to the net derivative loss, it was about 60% rates, 20% FX and 20% own credit.
Jamminder S. Bhullar - JP Morgan Chase & Co, Research Division: Okay. And the dividend, I wasn't assuming that you'd raise it right now anyway, but I think, in a couple of quarters, you're going to be at 4 quarters at a consistent rate. So -- but you are implying that the buyback comments won't necessarily apply to dividends though. Is that right?
Steven A. Kandarian: That's correct.
Jamminder S. Bhullar - JP Morgan Chase & Co, Research Division: Okay. And then just following up on long-term care. Are you thinking about like raising prices on the in-force business? And if you are doing that, where you are in that process? And then finally, several of your competitors have actually had success with variable annuity buyouts. And wondering if you could just comment on your thoughts on part of your block that are perhaps a little bit more underwater.
William J. Wheeler: So Jimmy, this is Bill. The -- with regard to long-term care price increases, we've been raising prices on our long-term care in-force for, I think, 3 years now. We've sort of been going block by block in terms of doing that, and we've had very good success. We announced another round of price increases or the new initiatives at the end of 2012, and we are going through the state approval processes now. In our latest round of price increases, 25 states have granted us approval. Now before you get too excited, these tend to be a smaller populations states. The big population states, where most of the block is, are -- haven't opined yet. So they're -- but we think it's going well. And we actually, frankly, have a lot of experience in terms of getting these rate increases through the regulatory process, and this one is going in a very similar fashion to what's happened to us before. So that's sort of just latest on long-term care prices. We are looking at what some of our peers have done with regard to variable annuity buyouts. We're trying to analyze whether or not that makes sense for us. We haven't made a decision yet whether it does. Obviously, the reality is, if the stock market improves and interest rates move up, our in-force becomes less and less in the money. And our net amount of risk is a relatively small number, and their in the money-ness is a relatively small portion of the in-force block. So it's -- we haven't ruled it out, but we haven't made a decision yet.
Operator: Your next question comes from the line of Eric Berg from RBC Capital Markets.
Eric N. Berg - RBC Capital Markets, LLC, Research Division: I just have 1 question for Steve Kandarian. Steve, I was intrigued by your comments that you were focusing intensely on improving the customer service experience. That would seem to be a logical and normal thing for any business to do. It's just that in the life insurance business, I tend to think of it as having far fewer customer interactions than, say, the P&C business. In the car insurance business, for example, people's cars get in accidents, their homes are hurt by damage and they're looking for claims-paying ability. But on the life insurance business, I tend to think of it as a business in which people sign up and sort of maybe occasionally make changes to addresses and what have you, but don't have as many interactions as, say, in the property/casualty business. So why are you focusing on -- in what you call the customer experience as much as you do? And how will you know whether the expenditures are paying off? That's my 1 question.
Steven A. Kandarian: Eric, we've looked at a lot of studies around the issue of companies being customer-centric. And yes, P&C has more interaction than life, but we still have a fair number of interactions with our customers, even simple things like change of address or calling about some information on their product and their balances and so on and savings products. And if we don't provide a good customer experience in those interactions, people are not going to recommend us to family, friends, others who say, "I'm thinking about buying this product or that product that falls to the life insurance category. Who did you buy from? Did you have a good experience?" So the data is pretty clear that if you do a good job giving service to your customer, your top line improves because referrals, second sales and third sales to existing customers, as well as if you design the process right in terms of interactions and how the products themselves are sold and how the information that goes to customers is articulated, you'll get your cost down because all those customer complaints and second, third phone calls and trying to move people around the system to figure out an answer to their question becomes expensive. So again, the studies in these are pretty clear that your top line and bottom line can improve over time. It's not something that happens in the first 6 months or 12 months. It is a process that will take a number of years. We will track this. We will have data over time, but I don't have data for you right now. The cost that we're talking about here is not enormous amounts of money for some of the fixes that we're talking about. Simple fixes to websites to make them clearer, make the process much easier for the customer to interact with us are not big-ticket items. But it takes time and attention and takes a lot of people to focus on it. I used to hear when I was -- at MetLife, when I first got here, a mantra about customer service that's good enough. And I don't think that customer service that's good enough is good enough. I think you have to have good customer service, if you expect your existing customers to recommend you to others, if you expect that your ability to deliver customer service over time will be at a reasonable cost. So that's why we're engaged in this effort. It is something that we're all focused on, including all of us here at the executive group level, who make phone calls to customers who have problems with their interactions with us, where we can, on a firsthand basis, learn about those experiences and help us become more sensitized to what our customers face every day as they interact with us.
Operator: Your next question comes from the line of Mark Finkelstein from Evercore.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: Wanted to go to the, I guess, the derivative losses in the quarter. And I guess, the question I want to ask is this, obviously, rates going higher is a positive thing, but it does have that effect on earnings, both statutory and GAAP. And I guess what I'm thinking about is if you just take the assumption that rates will continue to migrate higher, perhaps follow the forward curve, if you will, who knows where they go, but how should we think about that in kind of future statutory dividends? Like, does it -- because, I mean, I'm really thinking about a nonparallel accounting treatment. Like, is this meaningful?
Steven A. Kandarian: Well, as we think -- our projections as we thought out to 2016 assume rates will be increasing. Our plan this year was the 10-year treasury go to 2.38%. We're in excess of that now but it will slowly be increasing. And we factor all this in when we think about our cash and capital projections, when we give you the ratios that we spoke about on Investor Day. So I mean we do take this into account. You have to remember that there is -- we generally have longer-dated derivatives, so it's more tied to the longer end of the curve. Today, we still have very short-term rates, very low short-term rates. And I think as people think forward over the next few years, that's where some of the more interesting pressure might come, if the curve flattened some more. So there's really 2 dimensions to the whole rising interest rate.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: Okay. And then, I guess, I think you pointed out some key enterprise initiatives in the back half of the year as a driver of higher expenses. I know there's been a lot going on with the company, but you highlighted this specifically in the back half of the year. Is there anything specific that we should be thinking about that you can talk about?
John C. R. Hele: We have some of the -- as we spoke about at our Investor Day in terms of the cost saves, we also have some strategic expenses coming through. They've been fairly light so far, but they will be building throughout the remainder of the year. And that's one of the aspects of the large investments in technology, much related around to improving customer service, as Steve mentioned.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: Okay. And then just finally, just thinking about variable annuity -- or I should say annuity earnings. I know you had very wide fixed annuity spreads, but you had a substantial gapping up of the kind of the ROAs on the block. And I'm just thinking -- I mean, are we at a new basing level, if you just kind of back off some spread on fixed annuities? But just thinking about the level of annuity earnings. I mean, are we at a new basing level that we should be trending going forward off of?
John C. R. Hele: I wouldn't trend it off as high as what we have done this quarter because of the factors that I mentioned. We are reinvesting as those annuities mature, and the cash flows turn over in that business. We're investing at a lower rate than what we have historically. The derivative income has held up very well. The investment teams have been able to keep those -- that derivative income up, and that's been one of the big outperforms versus our expectations in the core spread. We also had good VII that's allocated to that line of business. So you have to put that piece down. You also remember, we've had very favorable equity markets in general in the annuity business, and that drives -- we have larger assets from that, so we get more fee income from that business line flowing through. So the higher asset base and depending upon your views of equity market performance, that will re-base higher, obviously. But this is pressure of the reinvestment narrowing down.
Steven A. Kandarian: Okay. Well, we're at 9:00, so we're going to need to end the call. Thank you very much for your interest in MetLife.
Operator: Ladies and gentlemen, this conference will be available for replay after 10:00 a.m. Eastern time today through August 8. You may access the AT&T TeleConference replay system at any time by dialing 1(800) 475-6701 and entering the access code 277736. International participants dial (320) 365-3844. That does conclude your conference for today. Thank you for your participation and for using AT&T Executive TeleConference. You may now disconnect.